Operator: Good day ladies and gentlemen. Welcome to Vista Gold Corp First Quarter Financial Results and Conference Call with management. [Operator Instructions] As a reminder this conference is been recorded. Today is Monday, May, 14, 2012. It is now my pleasure to introduce your host Mr. Fred Earnest, President and CEO. Please go ahead Mr. Earnest. 
Frederick Earnest: Good morning ladies and gentlemen. Thank you for joining us on this conference call to discuss our results for the 3 months ended March 31, 2012. With me on the call today is Terri Eggert, our Interim Chief Financial Officer. Terri will provide a summary of our operating results for the first [audio gap] of 2012 and then I will give you an update on our project activities we will then open the conference call for your questions. 
Terri Eggert: Thank you Fred and to all of you for participating on our conference call today. We really appreciate your time and interest. First I will summarize for you the significant financial transactions that occurred during the first quarter of 2012.
 Of February 7, Vista and Invecture Group S.A. de C.V entered into an earning right agreement with respect to our Concordia gold project in Baja California Sur, Mexico. Under the terms of the Earn-in Right Agreement, Invecture made a non-refundable payment of $2 million in exchange for the right to earn at 60% interest which was substantially adjusted to 62.5% effective May 1 in [indiscernible] S.A. de C.V.
 Also in March of 2012, the company received $1.5 million from Awak Mas Holdings Pty Limited under the additional option agreement resulting in a gain of $934,000 on our Awak Mas Gold Project. Also in March the company received $733,000 from the exercise of certain compensation options and finally on April 19, we announced that we filed a final short form based Shelf Prospectus with the securities commission in each province and territory of Canada other than Quebec and that our Shelf Registration statement on Form S-3 filed with the SEC was brought effective.
 These offering documents were filed to replace our prior Canadian short form base Shelf prospectus that expired last year and our shelf registration statement on Form S-3 that expired on May 1 of 2012, and allow us to make offerings of common shares, warrants, subscription receipts or units for aggregate proceeds above to U.S. to $200 million during specified periods of time. 
 With that background let’s review our balance sheet. Cash and cash equivalents declined by $3.1 million from $17.9 million at December 31, 2011 to $14.8 million at March 31.
 In support of advancements that are Mt. Todd gold project, the exploration drilling program that Guadalupe de los Reyes gold silver project and the Earn-in Right Agreement with Invecture. These cash outflows were partially offset by the $733,000 we received upon the exercise of the compensation options the $2 million non-refundable payment we received from Invecture and the $1.5 million option payment we received from Awak Mas. The payments we received from both Invecture and Awak Mas reduced the mineral property balances of our Concordia and Awak Mas gold projects by $2 million and $566,000 respectively.
 Additionally, our investments in my [indiscernible] Corp declined in value by $4.6 million, net of deferred taxes at an effective tax rate of 38.87% from December 31, 2011 to March 31, 2012 due to a decline in the value of its common shares which is consistent with the decline experiences during the first quarter of 2012 in the value of shares of other junior gold stock.
 Lastly we recognized stock based compensation expense for the $1 million for outstanding stock awards including the restricted stock units we were granted in January of 2012. Turning now to our statement of income or less, with the continuation of drilling, permitting and development activates at our Mt. Todd gold project in the ongoing exploration program at our Guadalupe de los Reyes gold, silver project. We incurred a net loss of $11.2 million or $0.16 per basic and fully diluted share for the 3 months ended March 31, 2012. This is compared to a net loss of $3.9 million or $0.06 per basic and fully diluted share for the same period of 2011.
 Compared to this respective prior period results for the quarter ended March 31, 2012 were primary attributable to one increased cost of $2.8 million that we encouraged to advance the feasibility study and permitting process been undertaken at our Mt. Todd gold project and to increase costs of $976,000 due to legal and professional fees assorted with the Earn-in Right Agreement with Invecture and our Canadian and United States prospectuses and for stock based compensation for the restricted stock units that we granted in January of 2012.
 These increased costs were partially offset by the $934,000 gain we realized on the $1.5 million payment we received from Awak Mas under the additional option agreement. Additionally we recognized an unrealized loss in our investment in Midas Gold as noted earlier. Fred, will now give you an update on our operating and project activities. 
Frederick Earnest: Thank you Terri, before proceeding provide an update on our projects I would like to address 2 topics that have been source of repeated questions following our recent announcement. The first topic is the adjustment of the percentage interest which the Invecture Group can earn in the Concordia project.
 The Earn-in Agreement was based on the premise that Vista would successfully complete the process of getting a resolution from the Mexican Secretariat of Agrarian Reform indicating that the land previously thought to be federal land was in fact private land and that the company had executed the necessary transactions become the owner of the private land. In spite of very diligent efforts made by our team in Mexico and in part due to changes within the organization of the Secretariat of Agrarian Reform in Baja California Sur we did not succeed in obtaining the resolution prior to April 30th, the agreement recognized the value of the work that had been done prior to its signing in February and the value that would be realized upon receipt of the resolution.
 The parties agreed to the 2.5% adjustment in the event that the resolution was not received prior to April 30th of this year, work continues in the effort to obtain the resolution. However, our costs related to this effort have ceased. We believe that Invecture will be successful in getting the resolution from the Secretariat of Agrarian Reform. We believe that that will effectively validate the transactions that we have previously concluded to acquire the rights to that piece of property and thereby facilitate the permitting process specifically as relates to the change of land use permit.
 The second topic is our cash burn rate, as reported we concluded the first quarter with $14.8 million in cash including investments. We project that this will fund our planned activities into the fourth quarter of this year, with the following explanation. We are presently working with the government of the Northern Territory in Australia to obtain certain permits that would allow us to treat the acidic water that has been pumped to the Batman Pit over the period of the last 7 to 8 years.
 It is expected that these permits would also us to discharge most of the treated water over the next 2 wet seasons. If we are successful in obtaining these permits we expect to incur water treatment charges of approximately $8 million in the third and fourth quarters of this year which will necessitate that we undertake financing activities to fund the treatment of this water.
 We believe that this will be a very positive step in the development of the Mt. Todd project as water management is a critical path item in the development of the project. Now to proceed with the discussion of developments of our projects, at our Guadalupe de los Reyes project in Sinaloa, Mexico we have recently concluded drilling activities for the season and our concluding core logging and final assaying. As the dry season in the project area has been more pronounced than usual we are providing assistance to local land owners in the form of transportation of water for life stock compensation.
 This may continue through the end of June. We have commenced the primarily economic assessment for the project and a technical site visit was completed by Tetra Tech. Metallurgical Testing of core obtained from our drilling has been started at the Lab of Resource Development Inc in [indiscernible] Colorado. At the present time, we expect to have the primarily economic assessment completed in the third quarter of this year. At the Concordia project we are pleased with the initial progress been made by the Invecture Group and look forward to the results and their efforts as the year progresses.
 At the Mt. Todd gold project and the northern territory of Australia we continue to receive favorable results that are changing our view of the project in a very favorable manner. The drilling program that was started in November of last year where the plants go 8,500 meters has been increased to 14,300 meters based on the favorable results we achieved today.
 We expect this program to conclude the second week of June. Those of who have taken the time to review the results of these drilling has contained in our public disclosure and as shown in cross sections found on our website at www.vistagold.com realized that we are encountering mineralization previously classified as infrared resources as projected and additionally in some areas that we are not expected and also that the grade of the mineralization that has been encountered has been of generally better quality than estimated in our resource estimate. We are encouraged by the results of this drilling and look forward to the results of the new resource estimate that we expect to be completed in August of this year.
 We have recently received the results of metallurgical test completed on samples obtained from the existing Heap Leach Pad. We have always treated the Heap Leach Pad as an environmental liability but based on work that started last December our views are changing. Based on historical records the Heap Leach Pad contains approximately 17 million tons of material that was partially leached by previous operators prior to the closure and abandonment of the project.
 In the coming weeks we expect to announce the results of metallurgical testing on material from the Heap Leach Pad. Work on the feasibility study for the 30,000 ton per day operation which does not consider the results of the drilling program that is progress nor the result of the metallurgical testing of material from the Heap Leach Pad is coming to a conclusion.
 We are in the process of evaluating the potential impact of the recent findings on the scope and the scale on Mt. Todd project. In conclusion, we continue to move forward to realize greater value from our portfolio of assets. We recognized that the last months have been unsettling period for resource investors.
 I believe that we have work in progress that will allow us to distinguish ourselves from our peers as the year goes on. We appreciate your interest and continued support and now I will open the call for questions from those who are participating in the call. 
Operator: [Operator Instructions] Your next question comes from the line of Marco Rodriguez from Stonegate Securities. 
Marco Rodriguez: I was wondering if we could talk a little bit more about the Invecture transaction and what recently transpired I appreciate the additional color that you provided in your prepared remarks. Perhaps you can maybe talk a little bit about timing, when you think -- has Invecture rather communicated when they think they might be able to get that resolution. 
Frederick Earnest: Actually, we had been working very closely with the people at the Secretary of Agrarian Reform up to and through April 30th. We had been hopeful that we would actually achieve that resolution prior to that date. The team at Invecture is continuing to use the team of people and the resources that we had put together to achieve that resolution and have added some people from their own political relations team to that effort. At the present time, we do not have any guidance from Invecture as to when that that resolution might be issued. We were always under the impression that it was a couple of weeks away. I don't know if I can provide any meaningful guidance as to whether if we're talking in the next week or in 2 weeks or 3 weeks at the present time. My last communication with the team at Invecture indicated that they were working closely with the people in the Secretary of Agrarian Reform and we are pushing the matter forward and acknowledge that it was crucial and very important to the final approval and issuance of the change of land use permit and that they were using all of their resources to finish up the work that we had started. I am sorry that I am not able to provide a more specific date Marco, but that's the best information I can provide at the present time. 
Marco Rodriguez: Okay, that's fine. And maybe you could talk a little bit about what's driving your level of confidence then I guess, in terms of them giving this resolution? 
Frederick Earnest: Certainly, you will recall that when we announced the transaction in February that we indicated that we felt that we needed to bring in a Mexican partner someone who had more intimate understanding of the workings of the Mexican political process, someone who had political capital that could be deployed in the effort of achieving the authorization of the permits. In conversations with the Invecture team I have gained a level of confidence that they are doing exactly what we expected them to do and what they indicated they would do prior to the completion of the transaction. They are based on dealings with their other projects within their portfolio. They have an already established relationship with regulators in the Mexican government specifically within [indiscernible] and also at the Secretariat of Agrarian Reform. I believe that those relationships will at the end of the day carry more weight than strictly the legal relationship that exists between a company applying for permits and the regulatory agencies. And that's typical of the way business is done in Mexico and so the value that we saw in the Invecture Group with their Mexican resonance, their Mexican experience and their ability to move and accomplish things at the track record of having done so was very appealing to us and there's been nothing in the events of the last 3 months that have changed my opinion. And therefore I continue to be optimistic that they will succeed in this effort. 
Marco Rodriguez: Okay. And then just kind of shifting gears here. When we're looking at your operating expenses for exploration and property valuation, how should we be thinking about that line item as we kind of progress through the year? 
Frederick Earnest: The exploration activities at Guadalupe de los Reyes have been concluded. We will be revaluating the opportunity to restart that program in the fall after we complete the preliminary economic assessment but for now those expenses have been terminated. We're winding down the core logging and we'll have some assay expenses here in the next 4 to 6 weeks. With regards to project development cost a Guadalupe de los Reyes. As I indicated, the only real costs are the costs associated with the preliminary economic assessment and that's being done by metallurgical testing which is what's being done here in the US. With regards to Mt. Todd, we are likewise winding down our exploration activities. As I indicated, we expect to complete the 14,300 meter drilling program, the second week of June and we'll have most of our exploration costs wound up in the second quarter's financials for this year. There will be a little bit of ongoing assay expense and analysis expense. With regards to the project itself, our site management costs are very much in line with what we've seen in years past with the exception that we have approved some out of budget expenditures for repairs related to the storm that the project experienced last December 26th and now that the wet season is over, those repairs are ongoing. The major project development expense that we will see and as I mentioned is the water treatment and that's entirely dependent on the approval permits. So our level of expenditure with the work on the feasibility study winding down, and the drilling programs winding down, the level of expenditure is dropping off compared to what you saw in the first quarter of the year. 
Marco Rodriguez: Helpful. And the just a clarification in regard to the potential expenditure for the water treatment in Australia and Mt. Todd. With that, I'm not sure I got that correct, the 8 million in each Q3 and Q4 or total of 8 million? 
Frederick Earnest: 8 million total. 
Operator: Our next question comes from Brian Post from Roth Capital Partners. 
Brian Post: Along the line of that water treatment project, is this timeline or is this project included in the development timeline from Mt. Todd or if you were able to do it now and get your permits early, does it accelerate anything? 
Frederick Earnest: No Brian, the water treatment for Mt. Todd is contemplated in the present development program for Mt. Todd. The program that's been proposed is the insitru [ph] treatment of water in the [indiscernible] pit micronized calcium carbonate with a second step using a smaller amount of quick lime to raise the PH to approximately 7 and then allowing the water in the pit to settle. We would then propose to discharge the treated water under the conditions of our present water discharge license over a 2 year period and that water would be discharged during the wet season. Obviously this water, the water level in the pit needs to be dropped in order to be able to initiate the pre-production mining activities which include a little bit of stripping and also a stock piling of certain amounts of ore that will be treated and blended in over the early years of project. 
Brian Post: Okay. And then is the $8 million, is it pretty even over those 2 quarters, or any time period… 
Frederick Earnest: Actually it would be pretty even over the 2 quarters, it's supposing that permits are received in July, we will then give the orders to the contractor to mobilize their equipment treatment would start in mid-August and we expect that the treatment process will take 10 to 12 weeks. So I would expect the cost for the treatment will be pretty evenly distributed over the latter half of Q3 and the first half of Q4. 
Brian Post: And at Guadalupe for the PEA, can you give us an idea of the scope of the PEA relative to the information that we already know. Obviously your past published informant is based on small methods. Really how much bigger can we expect that, almost addressable area to get with the PEA? 
Frederick Earnest: That's a good question and I've just been reminded. We're starting to wonder into some topics where I guess for clarity, I should remind everybody that's on the call, that some of the topics that we're addressing are forward looking statements. I would encourage you to refer to the disclosure that's found in our corporate prevention regarding cautionary notes. I think that it would be advisable for you to review that. Just be aware that some of these statements are forward looking statements. In regards to your question Brian, at the present time, the Guadalupe de los Reyes project is comprised of resources that are both indicated and inferred. They are based on the results of shallow drilling completed in late 1980s, early 1990s. Those results are being validated or the purpose of our drilling program that's concluded was to drill enough that we could validate the results of those previous estimates. The scope for the preliminary economic assessment is for an open pit operation that would concentrate on mining the resources as defined. The material would be processed through some sort of a milling operation. Given the relatively large difference in the magnitude of concentrations of gold and silver, a gold grades are simpler in the range of 1.5 grams per ton and silver grades are in the range of 25 grams per ton. That it would be necessary to have a milling circuit with [indiscernible] followed by Merrill-Crowe Recovery Circuit to be able to recover the volume or significant part of the silver that's present in deposit. The tails would then be detoxified and deposited in the tailings of [indiscernible] facility. At this point in time, I am not able to give any guidance on approximately size of the operation as the scoping study that will determine the plant size has obviously not been completed but that is the type of operations that contemplated. 
Brian Post: Got it and exploration, looking at Mt. Todd, beyond the Batman, any progress or any update on ideas or thoughts, quick lease or silver spare or those others? 
Frederick Earnest: For the purposes of our planning for this year, we are not planning to do anything else with quick lease. It will continue to be reported as a resource. As we will not be undertaking any drilling, we will likewise not be undertaking any metallurgical testing and therefore will not include the quick lease resource in any feasibility study or reserve statements in the near future. With regards to the properties on the exploration licenses that you referenced such as snow-drop [ph], golden eye, MSPS 2 and MSPS 5. We are continuing to undertake soil sampling studies and work to further define targets. At this point in time, we used our exploration license budget for the additional drilling at Mt. Todd as we felt that created more value. We will evaluate market conditions and our cash positions later this year and determine whether we will authorize additional programming drilling on the exploration licenses or not. But at the present time we are planning for the first part of the dry season to undertake additional field reconnaissance mapping and soil sampling work and will see where the markets go as far as determination for additional work. 
Operator: [Operator Instructions] 
Frederick Earnest: As it appears that there are no further questions, I will take this opportunity to thank all of the participants in the call. We appreciate your interest. We appreciate the questions that you have asked and we look forward to seeing each and every one of you as we make calls on the investment community through the coming months. Thank you very much everybody. 
Operator: Thank you. Ladies and gentlemen this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.